Operator:  Investcorp Credit Management BDC, Inc. scheduled Earnings Release of First Quarter Ended September 30, 2021. Your speakers for today’s call are Mike Mauer, Chris Jansen and Rocco DelGuercio.  A question-and-answer session will follow the presentation. I’d like to now turn the call over to your speakers. Please begin.
Mike Mauer: Thank you, operator. This is Mike Mauer, and I’d like to thank all of you for joining us on our first quarter call today. I’m joined by Chris Jansen, my Co-Chief Investment Officer; and Rocco DelGuercio, our CFO. Before we begin, Rocco will give our customary disclaimer regarding information and forward-looking statements. Rocco?
Rocco DelGuercio: Thanks, Mike. I would like to remind everyone that today’s call is being recorded and that this call is the property of Investcorp Credit Management BDC. Any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by visiting our Investor Relations page on our website at icmbdc.com. I would also like to call your attention to the Safe Harbor disclosure in our press release regarding forward-looking information and remind everyone that today’s call may include forward-looking statements and projections. Actual results may differ materially from these projections. We will not update forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our Investor Relations page on our website. At this time, I’d like to turn the call back to our Chairman and CEO, Michael Mauer.
Mike Mauer: Thanks, Rocco. September is the first quarter of our fiscal year. As we look out from here, we are optimistic that June 2021 will mark the low point of our NAV. We saw an increase in the marks of many of our physicians, an increase in the average yield of the portfolio and an average IRR of over 10% on our realizations. We recognize that there has been more volatility in our portfolio then we or you would like the team is working hard to continue to find good direct lending opportunities to reduce sector concentrations and diversify the name count further. We added two new portfolio companies this quarter and made additional investments into three other portfolio companies. After quarter end, we invested in two additional portfolio companies and made one incremental loan to an existing investment. We have found that in a highly competitive environment, some of our best opportunities come from companies we already know and/or lend to, these deals also tend to have better structures. typical of one to two years ago, when we made our initial investments. Refinancing activity continues to be a major theme. In the near-term, we to see refinancings of three of our investments and we expect to take part in the new financings for two of those portfolio companies. It’s always a challenge to maintain price and structure in a highly competitive market environment and we – when we are able to express a preference, it is to give a bit on the yield and exchange for covenants and better protection for our capital. Last quarter, we had significant markdowns specifically on 1888 in PGi. I’ll discuss those two investments toward the end of today’s call. Thematically, one of our goals is to stabilize our net asset value. This quarter, our marks were net positive and we had a single material negative mark infusion connect take back loan. I’ll discuss that situation later as well. Other investments, which have exhibited volatility in the past were stable or positive this quarter including 4L, Bioplan, Techniplas and ZeroChaos. We continue to gradually increase the number of industries we invest in and to maintain or increase the number of portfolio companies with the goal of improving the stability of the portfolio. Chris will now walk through our investment activity during the September quarter and after quarter end. Rocco will then discuss our financial results. I’ll finish with some commentary on our investments on non-accrual or leverage the dividend and our outlook for the balance of the year. As always, we’ll end with Q&A. With that, I’ll turn it over to Chris.
Chris Jansen: Thanks, Mike. We’ve invested in two new portfolio companies this quarter and three existing portfolio companies. We had two full realizations as well. Since our last conference call was so recent much of what I’m about to cover was discussed on our call in September as well. We invested in the first lien loan to AgroFresh, a food sciences company whose product prolong the useful life of fruits. Our yield at cost is approximately 7.3%. We invested in a club loan to Easy Way, a portfolio company of Insight Equity. Easy Way is a designer and manufacturer of cushions, covers, umbrellas and other accessories to the outdoor furniture market. Our yield at cost is approximately 8.5%. Turning to our existing portfolio companies. We invested in an incremental term loan and delayed draw facility for Empire Office. Our yield at cost on this incremental investment is approximately 8.9%. We also invested in an incremental term loan to Golden Hippo, which had repaid a significant amount of debt to facilitate the purchase of additional equity by the ESOP. Our yield at cost is approximately 8.6%. We also made an additional investment in Techniplas’ equity as part of the strategic acquisition of Nanogate, which is expected to be highly accretive and complementary to the existing business. Turning to our realizations. Our loan to infrastructure and energy alternatives or IEA was repaid. Our realized IRR was 11.8%. We were also repaid on our investment in Hyperion as the company refinanced it’s first and second lien loans in the broadly syndicated market. Our fully realized IRR was approximately 8.3%. After quarter end, we made two new portfolio company investments made one incremental investment in an existing loan and had one full realization. We invested in the first lean loan of laser away a portfolio of companies – of company of Ares Management. LaserAway is a leading chain of laser hair removal and skincare boutiques. Our yield at cost is approximately 7.1%. We also invested in the first lien loan of momentum manufacturing group to back the LBO the company by one equity partners. Momentum provides metal machining, welding, bending, and finishing services for diverse end markets. Our yield at cost is approximately 6.9%. We also made a small incremental investment in JetPros first lien term loan to support an acquisition. Our loan to ZeroChaos or workforce logic was repaid in full as a company was acquired by PRO Unlimited, a fully realized IRR was approximately 11.2%/ Using the GICS standard as a September 30, our largest industry concentration was Professional Services at 10.8%, followed by Energy Equipment & Services at 8.3%, Commercial Services & Supplies at 7.3%, Containers & Packaging at 5.8%, and Trading Companies & Distributors at 5.6%. Our portfolio companies are in 26 gigs industries as of quarter end, including our equity and warrant positions. As of September 30, we had 36 portfolio companies unchanged from June 30. I’d now like to turn the call over to Rocco to discuss our financial results.
Rocco DelGuercio: Thanks, Chris. So the quarter ended September 30, 2021, our net investment income was $2.5 million or $0.18 per share. The fair value of our portfolio was $245.3 million compared to $245.9 million on June 30th. Our portfolios net increase from operation this quarter was approximately $3.3 million. Our investments in new debt during the quarter had an average yield 8.5%, while realization and repayments during the quarter at an average yield of 8.7%. And the fully realized investments had an average IRR of 10.4%. The weighted average yield on our debt portfolio was 8.12%, an increase of 8 basis points from June 30. As of September 30, our portfolio consisted of 36 portfolio companies, 92.8% of our investments were first lien, 2.8% of our investments were second lien. And the remaining 4.4% is invested in equity warrants and public positions. 96.1% of our debt portfolio was invested in floating rate instruments and 3.9% in fixed rate investments. The average LIBOR floor on our debt investment was 1.05%. Our average portfolio company invested was approximately $6.8 million and our largest portfolio company investment was Empire Office at $12.9 million. We had a gross leverage of 1.63 times, and the net leverage of 1.47 times as of September 30 compared to 1.72 growth and 1.58 respectively for the previous quarter. As of September 30, we had five investments on non-accrual, which include all three investments in PGI, 1888 term loan B as well as deluxe and one investment on partial cruel fusion takeback loan. With respect for our liquidity, as of September 30, we had $16.3 million in cash of which $7.7 million was restricted cash as well as $20 million capacity under our revolving credit facility with UBS and $115 million under our Capital One facility, which will be utilized over the next two weeks to retire the UBS term loan and revolver, additional information regarding the composition of our portfolio include is included in our Form 10-Q, which was filed yesterday. With that, I’d like to turn the call back over to Mike.
Mike Mauer: Thanks, Rocco. As we discussed last quarter, we extended our financing capacity and lowered our cost of borrowing. We secured a new credit facility with Capital One, which will replace borrowings with UBS this quarter, between the Capital One facility and the 2026 notes, we feel very comfortable about our leverage capacity. Our guidance on leverage remains a target of 1.25 to 1.50 times. We’ve been working to reduce our leverage over several quarters, bringing it down from an artificially high level of 1.96 in March to 1.63 September quarter-end. There will always be fluctuations due to the timing of investments and repayments, but we expect to continue to see our leverage trend downward. As we committed to do, we waived the portion of our management fee associated with base management fees over one times leverage. Last quarter, I discussed the decline in our book value. This was driven by several of our investments on non-accrual, which included 1888, PGi and the takeback loan perfusion, which is on partial accrual. 1888 balance sheet restructuring discussions continue. We still expect that the term loan B will be equitized leaving us significant upside opportunity as company performance recovers with no expected downside from our current mark. Restructuring is expected to be completed this quarter. PGI remains on non-accrual. Siris, the former sponsor sold their interest in the company to RSI for a nominal amount. Lenders remain in forbearance as operational turnaround work is underway. To aid in that effort, a portion of the first lien term loan was converted into a super priority revolving facility. Our view of the you of the fair value of our total investment in PGi did not change this quarter. But that value is now allocated across an additional trench. The revolving facility can be repaid and reborrowed like a standard revolver fusions. Fusion’s second out takeback loan was marked on last quarter, and again, this quarter. The first out loan remains marked at par, and we are not concerned about value through that crunch. For confidentiality reasons, I can’t go into much detail about Fusion at this time. But we are closely monitoring the credit and are in regular touch with management and our fellow lenders. At this stage, we think that 1888 PGi infusion have limited ability to cause further negative volatility in our NAV. We see upside potential in our equity investments, as well as in our loans marked below par. In the current quarter, there was also – there will also be from the repayment of ZeroChaos, a NAV recovery, which was marked at 85 at September 30. We covered our September quarterly dividend with NII. Looking at our portfolio on a run rate basis, we expect to cover the dividend in December as well, and to have fully covered the calendar year. Our disciplined investment approach and appropriate capital resources leave us well positioned to come cover the dividend with NII going forward. Our board of directors declared a distribution for the quarter ended December 31, 2021 of $0.15 per share payable on January 4, 2022 to shareholders of record as of December 10. We believe the dividend level should be stable and sustainable and that it represents an attractive yield given the market price of ICMB stock. So far this quarter, or I’m sorry – so far this calendar year, we have successfully invested in nine new portfolio companies, despite a very competitive environment for originations and we have done so without compromising our principles. Our pipeline is focused on club deals, where we find better structure protections, pricing and covenants. We also expect to find opportunities for incremental investments in existing portfolio companies. We will continue to manage the portfolio with a goal of consistent income generation and preservation of shareholder account. That concludes our prepared remarks. Operator, please open the line for Q&A.
Operator: Ladies and gentlemen, at this time, we will conduct the question-of-answer session.  And our first question comes from Robert Dodd from Raymond James. Please go ahead, Robert.
Robert Dodd: Hi, guys, and congratulations on the quarter. I’ve got a couple questions. First kind of going down the P&I, one of the dividend income was that kind of a one-time dividend recap or something like that. I mean, it’s pretty sizable especially in context of the size of your overall equity book, which isn’t now big. So basically, I mean, is it sustainable and can you give us any cut on the source of this quarter?
Mike Mauer: Yes. As far as one-time income, other fees, there was probably a little less than $100,000 in the current quarter. And then there were – that was in the other fees and then non-recurring there was probably a little over 200,000. And so when we looked at the forecast for the dividend, we’re very comfortable that we should continue to cover it this quarter and next quarter.
Robert Dodd: Sorry. I meant the dividend income to you rather than the dividend to shareholders the $296,000 in dividend income this quarter.
Mike Mauer: I’m sorry. Okay. I’m going to look at Rocco and while he’s looking that up…
Rocco DelGuercio: It’s Techniplas, he is talking about Techniplas dividend.
Robert Dodd: The one time.
Rocco DelGuercio: Yes, that is the onetime fee. Yes. That’s Techniplas, I’m sorry, Robert. I didn’t understand. That’s the Techniplas that paid a dividend of the equity portion of it paid a dividend. I apologize. I didn’t get that.
Mike Mauer: So, yes. And when we filter that out, we do still easily cover at the current dividend level without a material change in the portfolio.
Robert Dodd: Understood. On the and you gave Mike, on the fee waiver, I mean, obviously, waving management fees over 75 basis points on over one turn leverage. Should – do you think it’s reasonable for investors to expect that to be continued long-term? Or is that something that is being evaluated on a quarter-to-quarter basis? Or should we factor that in as kind of a long-term base plan?
Mike Mauer: Let me answer that two ways. One is, there is no plan to change that. So from the way you factor it in. It is something that is revisited on a quarter-to-quarter basis with the board, but there is no plan to revisit what we’re doing at this point.
Robert Dodd: Got it. I appreciate that. On the interest expense, right, I mean, there’s – you’ve done a lot of work with the newer goal for et cetera, et cetera. If we look at that – the new structures and next quarter or however, I want to say, how much do you think the new structures in total were saved in quarterly interest expense versus, say, the 1.86% this quarter or the 1.9% last quarter?
Mike Mauer: All right. So let me put it here this way. Maybe Robert, maybe I can say it different. Our current credit facility is at 3.55% plus LIBOR and our new one is at 2.15% plus LIBOR.
Robert Dodd: And then there’s also…
Mike Mauer: I’m sorry. 2.35% plus LIBOR. So that and the UBS credit facility will roll off on December 6. And that credit facility is 1.15% versus if you look at what we have now with UBS is 1.02% plus 1.20%.
Robert Dodd: Got it. Got it. I think the…
Mike Mauer: Only other thing I’ve add – yes, Robert, just one more thing I’d add just as we’re all looking at each other here is that under the current structure, because UBS is a term loan, we’ve been carrying minimum $10 million to $20 million of cash and paying the full interest under the term loan to have that under the new Capital One, we’ve got more flexibility. So that if we have excess cash, we will pay it down and we will not be paying on borrowed funds there.
Robert Dodd: Got it. Got it. Appreciate that. Okay. Then just like the – I appreciate the color Mike, and I’m sure we are on 1888 PGi fusion, et cetera. And 1888 restructuring to be completed this quarter and I realize you can’t say anything about Fusion. But on PGi, is there anything and I realize you’re not in control. But anything you – any color you could give us on kind of a reasonable timeline to kind of expect there?
Mike Mauer: Yes, I’m not sure. I think that we’re all patient, I think it was a big plus to bring RSI on. And is it going to be six months to a year? I’d say, no. I think that it could be two years plus or minus. And if you asked me my bias would be plus unless and this is the big plus wild card someone looks at it strategically and comes in, but we’ve got, I think, a good management team in, and the way it’s structured with RSI, we’ve got real upside as they realize more value over time.
Robert Dodd: Got it. Thank you.
Chris Jansen: Yes. Robert. This is Chris, Robert. Are there other lenders have used RSI before and past performances, not guarantee of future results or whatever that term is, but they had surprisingly good results, to be all seriousness again, but to they had surprisingly good over performance on the couple deals that RSI managed for them and with the complexity of this business, it fit – really fit what RSI strengths are. So we’re – like Mike said, we’re optimistic, but we don’t want – we’re optimistic long-term.
Mike Mauer: And we have not built in that optimism upside into our valuation. We’ve done what we think is to – yes.
Robert Dodd: Yes, yes. Appreciate it. Thank you.
Operator: Our next question comes from Paul Johnson from KBW. Please go ahead, Paul.
Paul Johnson: Hey, good morning guys. Thanks for taking my questions. I had sort of a high level question for you guys. I don’t know if there’s a necessarily a right or wrong answer here, but curious to hear from you. How do you balance out I guess first, I should say with the goal of obviously achieving greater diversification in the portfolio. How do you guys balance the idea of taking positions in new investments, new companies alongside obviously the opportunity to invest in existing businesses in your portfolio? I’d just be curious if you had any preference for one or the other or in just how you balance that out.
Chris Jansen: Yes. Thanks, Paul. This is Chris. It’s really a case by case basis. And I hate to be non-committal, but you have something like a credit like Golden Hippo, which significantly repaid the first lien debt we’re in. When they come back to reload the facility for the ESOP to buy more shares back from the three original founders that, that is as close to no brainer as I’ve ever encountered. We are mindful of how the – how we’ve managed the portfolio in the past. And we do make every effort to keep our average hold levels down below the double-digits. So sometimes, we are mindful of it. But there is a comfort with deals or imagine teams we’re invested with that have a, run the company on a leverage state better longer and b, paid that down. It’ll tend to be a little bit higher. If I’ve tried to answer your question now, and I apologize it’s a little higher hurdle for a new deal when we’re looking at an older deal where we have a manageable position in already to us manageable is $7 million or less where we may top up for two or three more.
Paul Johnson: Sure. Okay. Yeah, I appreciate that.
Chris Jansen: That we ended a lot, but hopefully give you some flavor for how we look at it.
Paul Johnson: Yes, I understand. It’s complicated and I think deal by deal basis is probably the best way to say it. My other question was for the advisor. I’m just curious are – is – do – does the advisor or in any sort of partnership along with ICM in any way, do you guys manage any other assets outside of the BDC or are you in the process of raising any additional capital outside of the BDC?
Mike Mauer: So there’s two parts to that, which are number one, we had been pre-COVID talking about raising a private fund. We are back in those discussions that should progress during 2022. I’m not sure if the first close will be in the first half or second half, that’s the target to close on a new – first close on a new private fund during 2022. But I think coincidental with that not separate from it, but coincidental with it, and it will probably overlap some, I think now it’s a week and a half ago Investcorp had an announcement that they were supplying the capital for an acquisition of a insurance company shell that owns 44 licenses throughout the United States. They have so think about the analogy would be a theme on during ramp up. So there’s a new insurance company. Investcorp has gone through the process of identifying hiring CEO, CIO. We’ve got the shell. They’re capitalizing it. That will start to write premiums during 2022. And it will hopefully create additional assets for us to manage along with the opportunity to raise a private fund. So there is a platform that is building around it.
Paul Johnson: Great. Thanks for that. That’s very good color. And I appreciate that. And last just one quick question, but on your leverage target ratio, was that – is that on a gross basis or a net basis?
Rocco DelGuercio: So I – so it was, I did it both ways. One, the 1.63% was gross. The 1.47% was netball.
Mike Mauer: And the target of 1.25% to 1.50% is a gross number and we would expect to based upon great example is we said that we have – we know that there are a few that are supposed to repay. In anticipation of repaying, we are trying to make sure that we deploy. Now if a repayment gets delayed and we have deployed, it would be a little bit higher until the repayment comes in. But being in that 1.25%, 1.50% is the target.
Rocco DelGuercio: Yes. And Paul, just to follow Mike said earlier, if you think about the way our credit facility is, we just sit on cash, where in the new credit facility, it – the net and gross would be the same, because I would pay down the credit until I need to borrow on it. So if you kind of look at it that way too.
Mike Mauer: And by December 1, we will be fully into the new facility and out of the UBS facility.
Paul Johnson: Okay. Got it. So gross basis on the target range that’s what I was looking for. Appreciate it, guys. Thanks for taking my questions.
Rocco DelGuercio: Thank you.
Operator:  And gentlemen, at this time, there appears to be no further questions.
Mike Mauer: Thank you very much.
Operator: This concludes today’s conference call. Thank you for attending.